Operator: Good morning, ladies and gentlemen, and welcome to Lundin Gold's Fourth Quarter and Fiscal Year 2025 Conference Call. [Operator Instructions] I would now like to turn the conference call over to Jamie Beck, President and CEO. Please go ahead.
James Beck: Thank you, operator, and good morning, everyone. Thank you all for joining us today. I'm joined here by Terry Smith, our Chief Operating Officer; and Chester See, our Chief Financial Officer. And we're going to take you through our results for the fourth quarter and full year 2025. Please note Lundin Gold's disclaimers on this slide. This discussion includes forward-looking information. Actual future results may differ from expected results for a variety of reasons described in the caution regarding forward-looking information and statements section of our press release. Lundin Gold is a U.S. dollar reporting entity, and all amounts in this presentation refer to U.S. dollars unless otherwise indicated. 2025 was an exceptional year for Lundin Gold marked by strong operational delivery, record financial performance and important advances across our growth pipeline. At Fruta del Norte, we produced approximately 498,000 ounces of gold and sold 503,000 ounces. Our average head grade was 9.5 grams per tonne average recovery was 89% and the mill processed over 1.8 million tonnes at a record average throughput of 5,009 tonnes per day. These results underscore the consistency of the operation and the success of our ongoing optimization work. Amidst strong gold prices, we remain focused and disciplined on our cost performance. For the year, cash operating costs averaged $838 per ounce, and our all-in sustaining costs averaged $1,015 per ounce, resulting in a basic margin of 72%, the combination of robust production and disciplined costs translated directly into record financial outcomes. From a cash generation standpoint, we delivered $1 billion of cash flow from operations and $926 million of free cash flow in 2025. After paying $664 million in dividends in the year, we ended the year with $630 million in cash. For the fourth quarter, we announced a dividend of $1.15 per share or approximately $278 million, which will be payable on March 26 this year. These results reflect our continued focus on returning capital while maintaining balance sheet strength. On growth, we achieved a major milestone with the inclusion of FDNS into mineral reserves, and we are now proceeding with underground development. We have advanced our mine to mill expansion study that will evaluate increasing throughput beyond 5,500 tonnes per day, and we continue to demonstrate the district scale potential of our land package expanding the epithermal gold deposits at both FDNS and FDN East as well as identifying 5 copper-gold porphyries within the emerging corridor. Turning briefly to the quarter. The fourth quarter was the strongest in our history on multiple measures. Revenue reached $527 million. Net income was $234 million, EBITDA was $364 million; free cash flow at $328 million. Earnings per share were $0.97 and our AISC margin per ounce climbed to $3,106. Each representing a quarterly record and significant year-over-year increase. This performance reflects both continued operational excellence and our ability to capture margin in a strong gold price environment. With that, I'd like to now turn the call over to Terry to discuss our operations in more detail.
Terrence F. Smith: Thanks, Jamie, and good morning, everyone. I'm very proud of our team that delivered great production results yet again and we did it safely. We started 2025 with a goal to improve our safety performance, and I'm pleased to report that we recorded no lost time incidents and achieved our lowest annual total recordable incident rate ever. This accomplishment speaks to the team's strong commitment to safe production. While preventing injuries is our objective, we continue to focus on leading indicators and getting out in the field, reinforcing behaviors that keep our people safe every day. Operationally, the fourth quarter capped a year of consistent delivery and steady optimization. In Q4, we achieved record mining output of 501,301 tonnes. The mill processed 484,950 tonnes at an average of 5,271 tonnes per day, even with the reduced operating hours during unplanned maintenance activities at the mill. This is a 14% increase as compared to Q4 2024 when the plant expansion project was largely complete. Our progress through the year keeps us on track toward our goal of averaging 5,500 tonnes per day in 2026. For the full year, we achieved our elevated 2025 production guidance range of 490,000 to 525,000 ounces, finishing the year with 498,315 ounces produced. We recently added a portion of the growing FDNS deposit into our mineral reserves, marking an important step forward for this emerging ore body. With this milestone, underground development towards the deposit will proceed. We currently anticipate nonsustaining capital of $30 million to $35 million in 2026 associated with FDNS development. FDNS is also being integrated into our mine to mill expansion study which is evaluating opportunities to sustain higher mining rates by incorporating FDNS into the broader mine plan. Together with potential plant debottlenecking and upgrades to supporting increased throughput. Our intention is to make a single integrated investment decision in 2026 informed by analysis of the most efficient mining rates at both FDN and FDNS, along with options to increase processing capacity beyond 5,500 tonnes per day. Further estimates for nonsustaining capital associated with FDNS development and the potential plant expansion will be provided as these studies continue to advance and are finalized. With that, I'll turn the call over to Chester to discuss our financial performance.
Chester See: Thanks, Terry, and good morning, everyone. I'll begin with our quarterly and full year financial results, then move to cash flow and our dividend. The fourth quarter delivered record results. Net revenues were $527 million and income from mining operations was $373 million. Net income for the quarter was $234 million, and we generated EBITDA of $364 million. Free cash flow in Q4 was $328 million, reflecting strong operations and continued margin capture. For the year, net revenues totaled $1.78 billion. Net income was $792 million and EBITDA reached $1.24 billion. We generated $926 million of free cash flow for 2025 and our cash operating cost and AISC were $838 and $1,015 per ounce, respectively. These cost metrics were above our 2025 guidance range, primarily because our guidance was based on a gold price assumption of $2,500 per ounce, while average realized gold price for the year was $3,594 per ounce or an increase of approximately $1,100. For every $100 per ounce increase in gold price, our cash operating costs and AISC are impacted by $10 per ounce due to royalties and statutory profit sharing. This implies a $110 per ounce impact on our cost metrics well above the $60 range we used for our guidance. Turning to free cash flow in more detail. Q4 free cash flow of $328 million contributed to a full year total of $926 million, reflecting strong underlying operating cash flow and modest capital spending requirements in 2025. Our capital intensity remains low which, combined with our cost structure and realized pricing, supports robust free cash flow generation on a sustained basis. From a balance sheet perspective, as of December 31, 2025, we had working capital of $595 million, up from $459 million a year ago. During the year, we generated $1 billion in cash from operating activities and ended with $630 million in cash after paying $664 million in dividends. The strong liquidity position provides significant flexibility to full fund growth and continue delivering capital returns. Consistent with our capital allocation framework and the strength of our Q4 free cash flow, the Board has declared a quarterly dividend of $1.15 per share comprised of a $0.30 fixed dividend and $0.85 variable dividend. The variable dividend reflects 100% of normalized free cash flow this quarter, above the policy minimum of 50%. The total distribution is approximately $278 million payable on March 26 to shareholders on record on March 11 with payment on March 31 for shares trading on NASDAQ Stockholm. For a more detailed discussion of our dividend and financial results, I encourage you to read our MD&A. I'll now turn the call back to Jamie.
James Beck: Thanks, Chester. I'll spend a few minutes on our mineral reserves and resources and then provide an update on exploration. 2025 marked our largest FDN reserve and resource statement ever published with the highest contained ounces reported to date. Proven and probable reserves now stand at 5.85 million ounces, an increase of 6% year-over-year, accounting for approximately 535,000 ounces of mining depletion and the inclusion of the inaugural FDNS reserve of 0.54 million ounces. Measured and indicated resources total 7.48 million ounces also up 6% versus 2024 and include 0.77 million ounces from FDNS, where an indicated material was confirmed at a higher grade than previously reported in the inferred category. Inferred resources now total over 2 million ounces with 0.58 million ounces added from FDNS and FDN East, including FDN East inaugural inferred resource of 0.42 million ounces. Since 2019, FDN has produced approximately 2.9 million ounces and has added approximately 4 million ounces of new reserves relative to the 2016 estimate. More than replacing depletion over that period. And these results continue to demonstrate the quality, scale and longevity of this world-class district and its future potential. Turning to near-mine exploration at FDNS. Conversion drilling continued to confirm strong gold mineralization and help define wider, higher-grade zones within the broader mineral envelope that support further mineral reserve expansion. In parallel, exploration drilling outside the current resource delivered several exceptional results, including one standout Intercept of 20.65 meters at 91.32 grams per ton and also identified new veins to the south as well as extensions to the North. Together, these results reinforce the significant growth potential of the FDNS system and highlight the ongoing opportunity to expand the mineralized footprint. At FDN East, exploration drilling has extended the footprint by approximately 150 meters beyond the inaugural mineral resource. The work confirms a broader mineralized trend than previously defined, and we see potential for extension under cover towards the Sandia porphyry. The deposit remains an exciting and complementary opportunity immediately adjacent to our existing infrastructure. The emerging porphyry corridor on our concessions continues to deliver exceptional drilling results. At Sandia we reported our best porphyry intercept to date, 322 meters of 1.08% copper equivalent near surface. Drilling has outlined a large and still open mineralized system with strong continuity in multiple directions. Trancaloma drilling is vectoring into a shallowing high-grade potassic core, again demonstrating the presence of substantial mineralized center with room to grow. Castillo is a shallow copper gold discovery approximately 2 kilometers south of FDN under about 100 meters of conglomerates with a highlight intercept of 101 meters at 0.8% copper equivalent confirming the Southern continuity beneath the Suarez basin. We also advanced at Trancaloma West, where mineralization and alteration are consistent with what we see at Trancaloma and we identified Chontas as a fifth new porphyry system, some 7 kilometers south, doubling the corridor from 5 to 10 kilometers along strike. Collectively, these results continue to demonstrate the significant district scale copper gold potential alongside our high-grade underground operation. Looking to 2026, our objectives are clear. We will remain focused on health, safety and environmental performance. We intend to achieve our 2026 production and unit cost guidance. We also plan to execute a record 133,000 meter exploration program as we continue advancing multiple growth fronts across the district. Importantly, FDNS is now incorporated into our mineral reserves and underground mine development towards that deposit will proceed. At the same time, we continue to advance our integrated mine to mill expansion study and plan to make an integrated investment decision in 2026, informed by the analysis the most efficient mining rates for both FDN and FDNS and options to increase processing capacity beyond 5,500 tons per day. As we continue to grow and strengthen the business, we remain committed to delivering meaningful shareholder returns through our disciplined dividend framework. Collectively, these initiatives position Lundin Gold for another year of strong performance and meaningful value creation. In closing, 2025 was a record year for Lundin Gold. We delivered both strong operational and financial performance. We advanced key growth catalysts and returned significant capital to our shareholders, all while maintaining a clean balance sheet and a relentless focus on safety and responsible mining. Thank you to our employees, contractors, communities, partners and shareholders for your continued support. Operator, we're now ready to take any questions.
Operator: [Operator Instructions] Your first question is from Anita Soni from CIBC Wealth Markets.
Anita Soni: I just wanted to ask about the study that you're going to be putting out or sort of the decision that you're going to make around FDN and FDNS. Is this an incremental -- I think you said it was constrained, I guess, by the mining rate. So are you considering a step-wise change or like a 25% increase to throughput. I assume that would mean that you're accessing this by drift? Or are you considering thinking a shaft and I think that would mean that you would probably have significantly more capital but also significantly more throughput and a bigger change to the mill. So can you just give us an idea of what you're kind of seeing at this point?
James Beck: Yes, Anita, thanks for the question. No, we see this as a relatively small incremental expansion to the existing facilities. This is unlikely going to require a shaft or anything like that. We'll be able to access from existing underground development that we're moving out towards the south. So this is really, I think, an opportunity for us to capture consistent production and see that sort of consistent production at these levels for a number of years moving forward. So being able to bring in FDNS in a complementary way, to what we're already mining at FDN. So yes, these aren't a big massive step change. This is another incremental expansion, I think that will allow us to maintain production at current levels.
Anita Soni: Okay. So the intention is the grade will probably decline, but you're going to try to offset that with higher throughput?
James Beck: Yes. I think that's natural. We've been mining FDN 11, 12 grams for the first few years. Now we're down in the 9s and the 8s. And you can see reserve grade ultimately trends a little bit lower than that. So the increased throughput will allow us to maintain that production profile.
Anita Soni: Okay. And is there any change in terms of the way that you're -- like as you're looking at it now from a mining -- sort of like the mining methodology perspective? Is there -- it would be similar mining methodology? Or are you seeing wider widths or anything like that?
James Beck: Yes. Maybe I'll let Terry respond to that one.
Terrence F. Smith: Sure. Anita, it's Terry here. It is similar. We do transverse stoping in FDN and so the stopes are big and wide and tall and obviously very productive because of that configuration. What we have at FDNS is not as massive an ore system as we have at FDN. This is a series of stacked veins. And so we'll need to approach it with a long-hole stoping method, but longitudinal stoping. So narrower and less productive stopes, but we'll have more of them in production at once than we do at FDN. Does that make sense?
Anita Soni: Yes, it does. So maybe higher development CapEx and higher mining costs as we're looking at that?
Terrence F. Smith: Yes.
Anita Soni: Okay. And then lastly, if you -- can you give us an idea of like what -- you said $35 million for development for this year, but what's the time frame that you expect to bring this onstream and the capital that you think you might be looking at?
James Beck: Yes. I think that's -- you'll see the language in our release, Anita and what we talked about today. We'll come back sort of later on in the year with a more fully baked plan that will lay out the -- our capital expenditures for this project over the next few years. But we see this having a meaningful impact over the next 3 or 4 years in terms of bringing FDNS into the mine plan and actually starting to produce some ounces.
Operator: [Operator Instructions] And your next question is from Don DeMarco from National Bank.
Don DeMarco: Jamie and team. So I just wanted to build on the last call's question about the FDNS. Could you add a little more color on the FDNS made reserves? I mean I understand that this just reflects a portion of the inferred endowment. And so do you have rigs currently turning to convert that rest of that endowment? And then also I see you're getting these high grades to the South which is encouraging. Do you expect to potentially put that into an inferred category at some point this year? And then also, is there any scope for those intercepts to potentially lift the grades?
Terrence F. Smith: Don, it's Terry. Yes, so the reserves that we converted is obviously just getting started. And our intention is to continue to convert the 2 million ounces that we have in the inferred category up to indicated with more drilling this year. So that's just part of the natural process of derisking and expanding this project. And I know that the exploration team is going to continue to expand the inferred resource beyond what we see today. So yes to all your questions, I guess. I didn't quite catch the last thing that you asked, actually.
James Beck: I think it was around some of the grades. Yes. And I mean you would have seen from the results -- some of these grades are spectacular. In fact, FDNS has returned a number of sort of the top 10 holes from a grade width prospective ever drilled on the project. 20-plus meters of 90 grams. Last quarter, we put out around 5 meters of almost 500 grams. So just absolutely remarkable results. And I think we're seeing that -- if you compare sort of our original inferred resource on FDNS last year to where we got to today, we've seen that grade kick up. And importantly, some of the conversion drilling that we're doing from underground is helping to guide that. I think as we continue some of these high-grade hits, we've been positively surprised from a grade perspective and anticipate that may continue moving forward.
Operator: And your next question is from Charles Ehidiamhen from Jefferies.
Charles Ehidiamhen: My question is on Bonza Sur. I wonder if you could provide some updates to us on that and when we could expect some maybe the resource estimate on that front.
James Beck: I'm sorry, Charles, that your line is breaking up a little bit on our end. Would you mind repeating the question?
Charles Ehidiamhen: Yes, definitely. I was asking about Bonza Sur. So I wonder if you could provide some update on that front if we could expect any resource estimates anytime soon? .
James Beck: Yes. Thank you. It's around Bonza Sur. And I think one of the things that's opening up our development at FDN South is allowing us to take a look at is, with the mine development now moving towards the South, are there going to be opportunities for us to think about taking a look at Bonza Sur a little bit differently. You may recall, in the early days of discovery of Bonza Sur and thinking there our original thoughts were around potentially accessing that from open pit methods from surface. We now see opportunity to consider whether or not we can get at some of the higher-grade portions of that Bonza Sur deposit from underground, especially as the northern part of Bonza Sur starts pushing up against the southern part of FDN South and the success that we're having with extending FDN South with our conversion and exploration drilling. So that's going to be a priority for us to share, for sure. I'm not really going to guide you 100% at this point in time. But if there's opportunities for us to look towards pulling some of that Bonza Sur mineralization into our future long-term planning, we'll be evaluating that pretty closely this year.
Operator: There are no further questions at this time. I will now hand the call back over to Jamie back for the closing remarks.
James Beck: Okay. Thank you so much, operator. I think we are super excited about our growth potential at Fruta del Norte. It's been really interesting to see all of this exploration work come together and to have that supported by such strong operations this year as we mentioned, was remarkable in terms of record financial and operational performance. Our dividend continues to be strong with a clean balance sheet. I think the future remains bright at Fruta del Norte, and we look forward to delivering on our 2026 objectives over the year.
Operator: Thank you, ladies and gentlemen. The conference has now ended. Thank you all for joining. You may now disconnect your lines.